Operator: Good morning. My name is Latasha, and I will be your conference operator today. At this time, I would like to welcome everyone to the O'Reilly Automotive 2011 Second Quarter Earnings Conference Call. [Operator Instructions] I would now turn the call over to Mr. Tom McFall, Chief Financial Officer. Sir, you may begin.
Thomas McFall: Good morning, everyone, and welcome to our conference call. Before I introduce Greg Henslee, our CEO, we have a brief statement. The company claims the protection of the Safe Harbor for forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements can be identified by forward-looking words such as expect, believe, anticipate, should, plan, intend, estimate, project, will or similar words. In addition, statements contained within this conference call, that are not historical facts, are forward-looking statements, such as statements discussing, among other things, expected growth, store development, integration and expansion strategy, business strategies, future revenue and future performance. These forward-looking statements are based on estimates, projections, beliefs and assumptions that are not guarantees of future events and results. Such statements are subject to risks, uncertainties and assumptions including, but not limited to, competition, product demand, the market for auto parts, the economy in general, inflation, consumer debt levels, governmental approvals, our increased debt levels, credit ratings on our public debt, our ability to hire and retain qualified employees, risks associated with the integration of acquired businesses including CSK Auto Corporation, weather, terrorist activities, war and the threat of war. Actual results may materially differ from anticipated results described or implied in these forward-looking statements. Please refer to the Risk Factors section of the company's Form 10-K for the year ended December 31, 2010, for more details. At this time, I'd like to introduce Greg Henslee.
Gregory Henslee: Thanks, Tom, and good morning, everyone, and welcome to the O'Reilly Auto Parts Second Quarter Conference Call. Participating on the call with me this morning is of course, Tom McFall, our CFO; and Ted Wise, our Chief Operating Officer; and David O'Reilly, our Executive Chairman is also present. To start off, I'd like to again congratulate Team O'Reilly on the excellent performance. Our second quarter operating margin of 15% is a significant milestone and sets a new high watermark for our company. This performance, as always, is a direct result of the effort each one of us puts into abiding by our cultural values everyday, ensuring our customers receive the best customer service in our business, that we're all as productive as we can possibly be and that we manage our expenses with an eye toward making sure we create the best value in the automotive aftermarket for our loyal customers. Great job Team O'Reilly. Now onto some details for our second quarter performance. As we discussed on our first quarter conference call, we projected second quarter comparable store sales in the range of 3% to 5%, and we ended the quarter in that range of 4.4%. We've been on a reasonably steady sales trend for some time now, generating first and second quarter comparable store sales on a 2-year staff basis at 12.5% and 12.3% respectively. With consideration to the variation and comparisons we have by market, we saw solid sales performance across most of the country. As has been the case for sometime now, the markets in which we've converted CSK stores continue to be our best comparable store sales contributors, as the seeds we've sown during the integration of CSK continue to bear fruit. July 11 marked the third anniversary of the acquisition of CSK. And I'm very pleased to announce that the vast majority of the integration work is now behind us. Ted will review this in more detail in a moment, but generally speaking, we're now able to focus all our efforts in these markets towards growing market share by establishing ourselves as an incredibly capable business partner for the commercial customers in each market, as well as an outstanding resource and supplier for the DIY customers. We still got a long way to go to reach our potential in the CSK markets, but we are well down the road and in good position to incrementally gain market share on both the commercial and retail sides our business. To this point in July, the steady sales trend we've been on has continued, and with the extremely high temperatures we've seen the past few weeks across much of the country, we've seen very good seasonal demand. However, with fuel prices approximately 35% higher than they were this time last year, miles driven down 1 percentage point for the year through May and unemployment hovering around 9%, we're inclined to be somewhat conservative in our comparable store sales forecast for the third quarter, especially when considering that we're comparing to the 11.1% comp store sales gain we generated last year. With this in mind, we're forecasting comp store sales for the third quarter in the 2% to 4% range, which is the midpoint what put us around a 14% increase on a 2-year staff basis. Gross margin for the quarter came in at 48.6% of sales, a 12 basis point decrease compared to last year. This decrease is primarily related to the timing of some advertised commodity items on which we received cost increases, along with the faster rate at which we're growing our commercial sales versus our DIY sales, which yields a slightly lower gross margin rate. This is primarily related to the CSK integration and the execution of our dual market strategy in those markets. As I've mentioned before, we have several initiatives underway to enhance our gross margin over time. These include refinements to the way we price products both commercial and DIY, more direct sourcing of products coming from overseas, growth of some of our private label product offerings and continued distribution efficiencies. To this point, we've been pleased with our ability to maintain our gross margin rate as we execute our dual market strategy plan in the CSK conversion stores. SG&A expenses for the quarter came in at 33.5% of sales, a 95 basis point improvement compared to last year. This is primarily the result of our ongoing focus on productivity and expense control. However, winding down the CSK integration was also a contributor. I'm extremely proud of the job our teams are doing, managing expenses. It's part of our culture, and I feel like we're doing as good a job as we've ever done focusing on spending money where it's necessary to provide better service to our customers and eliminating unnecessary expenses. Also, it's clear that the rollout of our commission-based compensation plan in the CSK stores has been a contributor. We're very focused on team member productivity, and our incentive programs align our store teams' interest in making our sales and productivity goals. That said, we're very pleased with the operational expense improvements we've seen in the converted stores, as well as our execution in the core O'Reilly stores. The result was an all-time high quarterly operating margin of 15% of sales, an 83 basis point improvement compared to last year's adjusted operating margin. Our average inventory value for the quarter was up 5.2% over last year but generated a sales increase of 7.1%. As we've discussed before, we're working to dial in the converted store inventories and are gaining ground. Currently, our converted store inventories are higher on average than the core O'Reilly stores, and over the remainder of next year, we'll work to bring them much closer to the core O'Reilly store per average inventory. Our goal continues to be to incrementally over time return to our pre-CSK inventory turnover rate of approximately 1.7x as we dial in inventory levels and work to increase our per unit average volume in the converted stores. With the majority of the conversion work behind us, we continue to focus on some strategic priorities that we feel would drive long-term value. These initiatives, for most part, are simply improvements that we want to make to our business we're now able to focus. I've mention some of these before, but I'll touch on them again. There are things like more detailed work with our vendors on a wide array of projects to ensure appropriate inventory coverage in our DCs and stores, best use of capital on deploying inventory, logistics cost management, improved demand forecasting, along with several other merchandise-related priorities. We're very pleased to see that our efforts to improve use of capital yielded a 10.6% improvement in our AP-to-inventory ratio taking it from 44.2% last June to 54.8% this year. Another initiative is enhancing the content we have available in our point-of-sale systems. Having the best information easily available to our parts specialist is one of the keys to success in our business. We've been an industry leader in this area for a long time. However, we see more opportunity to not only improve the way we look up application parts, but to provide more information for our parts specialist in order to help them quickly help our customers solve their problems. This includes more information about problem diagnosis, product specifications and installation, along with other pieces of content detail we're working to add. We're also continuing our efforts to improve our e-commerce and, now, m-commerce capabilities. As I've mentioned before, we've done a good job on this for a long time with our professional customers. That [ph] we have continuing opportunity to improve not only those systems, but also the electronic interaction we have with our DIY customers, especially on mobile devices. We deployed some improvements and are working on several additional improvements as time goes along. There's a long list of additional internal priorities, but I want to just mentioned a few of the things we continue to work on to improve our customer service, our profitability and our market penetration. We continue to see a lot of opportunity to grow our business through market share gains and through the continued growth of our store count. The opportunity that we saw 3 years ago, when we bought CSK, is now coming to fruition. And we expect solid sales results from these stores over the next several years, as we gain credibility with both the commercial and the DIY customers. Our industry continues to benefit from the average age of vehicles on the road reaching record highs. I continue to believe that many of our customers have learned that with proper maintenance, cars and light trucks can be driven at higher mileages than ever before due to the quality of the drivetrains and other key componentry. I don't believe the positive effect this aging of the vehicle population could have on our industry has yet been fully realized. With unemployment as high as it's been the last couple of years, there's no question that there's been a lot of maintenance deferred. We hear this not only from our commercial customers but see it on our stores, as DIY customers look for low-cost alternatives and weigh the risks of deferring repairs that can be deferred. In closing, I just like to again say thanks to all the Team O'Reilly for their hard work and for the great service we provide our loyal customers. Our team has done an excellent job over the past 3 years incorporating what used to be CSK into Team O'Reilly. We have a bright future ahead of us as we continue to improve our customer service capabilities and we expand the O'Reilly culture in new markets. I'll now turn the call over to Ted Wise.
Ted Wise: Good morning, everyone. Like Greg, I would like to start on saying thank you to over 49,000 O'Reilly Team members. Our team working together, whether it be in the corporate office, distribution centers or in store operations and sales teams, was responsible for producing our first ever 15% operating margin. Following the excellent comps from a year ago, we knew we had to focus on great customer service levels to grow our business. Under these challenging market conditions, we produced a very respectable same-store sales last quarter. We realized the company's sales and profits performance are the result of the commitment and hard work of our talented group of professional auto-parts people, and we sincerely appreciate everyone's contribution. Before I give a brief update on the last stage of the CSK store conversions, I want to overview our new store growth during the second quarter. We installed 44 new stores, which on top of the 55 new stores in the first quarter, brings us to 99 new installations for the year. During the first part of the year, we closed 12 CSK nonperforming and overlapping stores that we had previously announced in our plans last year. For the year, we have grown a net 87 new stores, bringing us up to 3,657 stores operating in 39 states. Our third quarter installation schedule is shaping up nicely and looks to be in the range of an additional 60 new stores, well on track to finish the year on plan with 170 net new stores. The new store growth will spread out to 17 different states with North Carolina at 9 stores and Texas at 6 stores leading the pack. Our real estate teams working closely with field operations continue to identify and find good expansion opportunities that can be added [ph] service within the current capacity of our network of 23 distribution centers. On the West Coast, we are very focused on expanding into new markets, but store relocations will be very critical to our overall growth as we work to relocate stores out at shopping centers and the more freestanding prototype buildings. West Coast real estate is challenging, but we are confident in overtime we can find good options in many markets that will improve our location and our occupancy cost. Now for an update on the final stage of our store conversions out west. As outlined on our last call, we have implemented our O'Reilly dual market infrastructure and installed distribution centers, so that all stores are serviced on a nightly basis. We completed the changeover and update of all the hard parts inventory lines and all out-front planograms in the stores. We've installed all store computers and have our teams fully trained on the point-of-sale and store operational procedures. As Greg mentioned, the O'Reilly store incentive plans have been rolled out, and we've restructured and added the management required for our store operations and sales team to properly cover the current store count and future growth. We're in the final stage of completing the store interior resets and remodel, as well as the wrapping up the exterior store sign conversions to the O'Reilly Brand. During the past quarter, we completed another 108 store resets, leaving us approximately 50 stores to complete this quarter. We're also at the end of the sign conversions with around 100 stores pending release of permits, delivery of signs and scheduled to install as soon as possible. While we still have some fine-tuning and miscellaneous projects to finish, the store interiors with O'Reilly planograms, layout and decor is a huge improvement in our retail image. Many of the CSK exterior signs were in very poor shape, and now our stores present a new bright, sharp exterior image with O'Reilly signage, and in many situations, new exterior paint jobs. We are ready for business as O'Reilly, as we discontinue the co-branding advertising and now convert over to using only O'Reilly advertising in market throughout all of our markets. The development and growth of our West Coast stores and sales teams is progressing well as we continue to focus on several key areas. The store sales teams have become very efficient as they understand and implement the O'Reilly point-of-sale and other operational procedures. Now with the distraction of the store resets and the inventory work behind us, our teams are focused entirely on sales, product training and providing a higher-level customer service on the retail counter and to our First Call customers. Second, we continue to expand our outside sales efforts to build solid relationships with our more professional customer. It takes repetition and time to build these relationships and earn the professional customers' business, and we are starting to see good progress made in this area. Our team member training is resulting in higher productivity at the store level. We've also improved our store productivity by better scheduling for the business using our scheduling tool, which provides higher service levels. The obvious result has been increased sales and better leverage of our store payroll. We have to be very careful in our staffing plans to ensure the stores continue to have the level of staffing that will provide the great customer service needed to compete for each individual market sales entitlement. Staffing for great service levels is a store-by-store, market-by-market valuation and is considered a top priority for our entire fields management team. We feel we have trained and developed a great leadership team in the West Coast stores, and also feel confident that we will continue to see the growth and success that mirrors our core O'Reilly store group. I'll now turn the call over to Tom.
Thomas McFall: Thanks, Ted. Now we'll cover our second quarter financial results and our guidance for the remainder of the year. For the quarter, comparable store sales increased 4.4%, which was within our 3% to 5% guidance for the quarter. Sales increased 7.1% to $1.48 billion. The sales increase of $98 million was comprised of $60 million increase in comp store sales; a $39 million increase in non-comp store sales; a $3 million increase in non-comp, non-store sales; and a $4 million decrease from closed stores. For the quarter, ticket average drove our comparable store sales gain. The ticket average trends for the quarter were consistent with previous quarters driven by the continued shift in our product mix towards hard part categories, which typically carry a higher average ticket. During the quarter, comparable DIY ticket count came under pressure as consumers faced increased fuel cost, however, this pressure was offset by a continued strong growth in the DIFM comp ticket count. Year-to-date, our comparable store sales increased 5% on top of last year's 7.4% first half gain. Our third quarter comp guidance is 2% to 4% on top of the 11.1% comp for the third quarter of 2010, which was our highest comp quarter for that year. Our full year sales guidance remains at $5.7 billion to $5.8 billion, and our 2011 comparable store sales guidance is also unchanged at 3% to 6%. While we do expect continued headwinds from fuel prices and a high level of unemployment, we expect sales trend relatively solid based on the continuing economic pressure that requires consumers to maintain their existing vehicles and on the solid growth potential we have in the acquired CSK markets. Gross profit for the quarter was a 48.6% of sales and was down slightly from the prior year but within our expectations. Looking at the quarter, we definitely saw inflationary pressures with our LIFO reserve increasing $23 million. While we still feel confident in our long-term ability to pass along raw material price increases to our customers, the second quarter margin was compressed in part by price increases on highly promotional merchandise. The tight timing of the price increases and our seasonal promotional activities did not allow us to adjust advertised pricing. This compression, in addition to the ongoing pressure and gross margin percentage, caused by a higher mix of commercial business, resulted in a 12 basis points decrease in gross margin percentage for the quarter. We're maintaining our annual guidance of gross margin of 48.4% to 48.8% of sales versus 48.6% in 2010. While we do anticipate further inflationary pressures, we expect the pricing environment industry will remain rational, and inflationary pressures will be effectively passed on to the consumers. SG&A results for the quarter were very strong at 33.5% of sales versus 34.5% in the prior year. The improvement was driven by improved leverage and store occupancy costs, improving store payroll efficiency and improved leverage on headquarter's expenses. These efficiencies were partially offset by increasing fuel cost related to store delivery vehicles, and we'd expect that headwind to continue throughout the year. Looking at average SG&A per store for the second quarter, we are able to keep the expense flat through tight expense control. Year-to-date, SG&A per store has increased less than 1%. And for the full year, we now expect to see an average per store SG&A increase below 1% as we leverage store activity cost in acquired CSK stores, leverage headquarter expenses and benefit from the reduced store project cost related to conversions and training in 2010. Operating margin for the quarter was 15% of sales, representing an 83 basis point improvement over the prior year on an adjusted basis, as we were able to tightly control expenses. Based on an operating margin of 14.6% of sales for the first half of this year versus 13.7% in the prior year on an adjusted basis, we are updating our full year operating margin guidance to 14.2% to 14.6% of sales, as compared to an adjusted operating margin of 13.6% in 2010. As a reminder, our fourth quarter operating margin is typically the lowest operating quarter based on sales, volume and mix. Diluted earnings per share for the second quarter was $0.96 per share, which represents an increase of 19% over an $0.81 per share adjusted diluted earnings per share in the prior year, which excludes the impact of the CSK DOJ settlement charge. Year-to-date adjusted EPS, which excludes the charges related to the company's new financing plan of 2011 and the aforementioned CSK DOJ settlement in 2010 was $1.78 per share versus $1.51 in the prior year, which is an 18% increase. At the end of the second quarter, our adjusted debt to adjusted EBITDAR was 1.6x, which is consistent with the beginning of the year but remains well below our long-term targeted leverage range of 2x to 2.25x. While we will incrementally increase our leverage over time, we remain very committed to maintaining our investment grade ratings. Looking at our balance sheet at the end of June, 2 things stand out. First, we're sitting on an unusual amount of cash, which we'll discuss in a moment. And second, we're making significant progress towards improving our net inventory investment. Reducing our per store inventory as well as improving our vendor terms both represent great opportunities for us to improve our net inventory investment position. Year-to-date, we've opened 87 new stores with an increase of inventory of only $12 million. On a per store basis, inventory at the end of the quarter was $557,000 versus $567,000 per store at the end of 2010. We expect to see continued reduction in our per store inventory within the next few years, as we continue to work hard to refine the next adaptive [ph] inventories to converted CSK stores into DCs. For the year, we continue to believe we can add 170 new stores with only a small increase in gross inventory. At the end of the quarter, our AP to inventory ratio was 54.8%, which was a tremendous improvement over the second quarter of the prior year in December of 2010, which were 44.2% and 44.3% respectively. A portion of the improvement is a result of some timing issues related to product changeovers. However, the biggest improvement is the result of permanent improvements and payable terms, which we have been able to negotiate with vendors as a result of our improved vendor financing program. We've been able to enhance our program to reduce supply-chain cost based on our new unsecured debt structure. We expect to continue to increase our AP to inventory ratio over time. Cash flow from operations improved $206 million over last year, which represents a 58% increase. This strong improvement was driven by increased adjusted net income and the improvement in net inventory investment. Looking at capital expenditures for this first 6 months, our spend of $151 million was $32 million less than last year. This decrease relates to the 2010 CapEx and new DCs to support the CSK conversions. For the full year, we're reducing our forecast from between $310 million and $340 million, down to $290 million to $320 million based in part on timing and in part on below planned expenditures. The strong improvement, our cash from operations coupled with CapEx spend below last year, drove a significant improvement on our free cash flow. The first 6 months free cash flow of $411 million was a $237 million improvement over the prior year. For the full year, expected free cash flow guidance we’re increasing our estimate from $360 million to $400 million, up to $425 million to $475 million. We've increased our guidance based on expected lower net inventory investment at the end of the year, lower CapEx and lower-than-planned cash taxes based on changes to the tax law. During the quarter, we continued to aggressively repurchase shares. Prior to June 4, when we entered our restricted trading window, we executed a 10b5-1 plan, which allowed us to continue to repurchase shares during the closed window. At that time, our stock have been trading in a relatively tight range between $58 to $60, and we developed our 10b5-1 plan with that range in mind. During the closed window, our share price saw a significant appreciation, and as a result, we have not repurchased as many shares to date as we had anticipated. The result of this lower-than-expected level of repurchase was the quarter end cash balance of $269 million. Our 10b5-1 plan remains in effect until our trading window reopens on August 2. And when it does, we anticipate continuing to execute our repurchase program. Our guidance for both the third quarter, full year, takes into account the shares repurchased through yesterday but does not reflect the impact of any potential future share repurchases. For the third quarter, our diluted earnings per share guidance is $0.98 to $1.02 per share. For the full year, our adjusted diluted earnings per share guidance, which excludes the nonrecurring charge related to refinancing plan mentioned previously is $3.53 to $3.63 per share. The second quarter represents another solid operating performance on many fronts, and we remain confident in our ability to execute our plan through the remainder of the year. At this time, I'd like to ask Latasha, the operator, to come back, and we'll be happy to answer your questions. Latasha?
Operator: [Operator Instructions] And your first question comes from the line of Alan Rifkin from Barclays.
Alan Rifkin: Greg, if we go back and look at the stores supported by, let's say, either Stockton or Phoenix, which were converted later in the process and compare them to, let's say, the upper Midwest or Western Texas or even Seattle, which were converted earlier in the process, can you may be just shed a little bit of color on the difference in the operating performance of those 2 groups of stores?
Gregory Henslee: Yes, I can to some degree, Alan. The stores that -- of the converted stores, the ones that took off the quickest and performed the best out of the gate have been the stores that we converted in the upper Midwest and Texas. That's partly due to the fact that the O'Reilly Brand was recognized there. We had Team Members that existed in markets close that we were able to use for training, and in some cases, move them into some of those stores to help teach our strategy. And we had the distribution capability to those stores that allowed us to very quickly, execute the dual market strategy that we execute. And then, of course, with the Seattle stores and the other markets that we've converted, we've had similar results but not -- they didn't come on quite as quick, mainly because of just the fact that there's a training curve, and that the team members had to get over that training curve before they're really capable of executing our business model. If you compare those to Stockton and Phoenix, those 2 markets probably hadn't done as good as the 2 that you mentioned, the upper Midwest Texas and the Seattle, putting the upper Midwest and Texas into 1 group and Seattle in another. Those 2 would follow a little bit behind those. Some of the other markets like Southern California, for instance, which is a very good market supply that of Moreno Valley, they've done incredibly well and they would be more comparable to what we saw in the upper Midwest and Seattle. So on balance, they all tend to kind of migrate towards the same spot and the same rate of comp or at least a similar rate of comp, but the time it takes to get there is varied some depending on probably people more than anything.
Ted Wise: I might add there, the first stores we converted over all in 1 big project, and we had the line conversions, the out-front converted, everything was -- it was shortened, a lot of pain for a little amount of time. These other markets, we've have these store remodel, reset been going on all through this transition too. So that combined with the computer conversions and the learning curve, it's kind of made a little difference in their speed on picking up our whole strategy and implementing it.
Thomas McFall: Alan, this is Tom. In general, what we've seen is the longer the stores have been converted, the better they perform as we've got all those training issues as we've had time to start developing commercial relationships and bolstering our [ph] business. So the stores that have been converted the longest continue to perform the best, but we see a similar trajectory given the time and effort conversion between the different conversion classes.
Alan Rifkin: Okay. So stores converted the longest are performing the best. Okay. And if I could just follow up with a question, if you don't mind. Greg, with a significant increase in free cash flow together with you guys pretty aggressively buying back stocks, since you first announced the program at the beginning of the year. Can we expect, going forward, a greater emphasis on share buybacks and possibly even a dividend implementation in the future?
Gregory Henslee: Well, I think what I would say is that our first priority with use of free cash flow is to grow our company and be opportunistic when it comes to expansion. And that's been the case for a long time, and it's clearly the best return to our investors. To the extent that we have excess cash that we can't use to grow, our first priority will be share buybacks. And I would expect that in the future, as we use up the authorized capability that we have that we'll be looking to expand our share buyback authorization. Today, we have no plans to implement a dividend program, but that could change in the future. Our board has not yet seriously considered approving that in light of the fact that we have the expansion opportunities that we have and the fact that we've implemented the share buyback program we have, but that could happen in the future, but we have no current plans to pay a dividend right now.
Operator: And your next question comes from the line of Kate McShane from Citi Investment.
Kate McShane - Citigroup Inc: I just wondered if you could get a little bit more specific on which categories you're seeing the most inflationary pressure? What gives you the confidence that prices will be able to pass through in the back half of the year when there seems to have been a little bit more promotional activity during the quarter?
Gregory Henslee: Well, the primary product that we see the most inflationary pressure on is lubricants. With oil prices going up, motor oil, transmission fluids, all the lubricants that are used in automobiles are increasing. Those are highly promotional products, especially during the peak of our selling season, the summertime, we're working to try and drive traffic into our stores. So that's where we're seeing the majority of it, although that does carry over into some other products that we're -- oils and various products like that are used in the manufacturing process or used in transportation. So we've seen some inflationary pressure in other products including friction materials where heavy resins are used and things like that. We feel confident in our ability to pass these increases along to the consumer, although what Tom and I mentioned in our prepared comments is that some of the promotional activity that we plan sometimes 8 weeks out or really even further than that, within 6 to 8 weeks out, we're pretty well locked-in to the promotional activity that we would have planned for a specific period. Because costs have escalated as fast as they have, we've had a little bit of problem keeping our costs and parity with those promotional plans. And for that reason, we had some drag in gross margin during the quarter related to some of the promotional, mainly, motor oil-type products.
Operator: And your next question comes from the line of Michael Lasser from UBS.
Michael Lasser - UBS Investment Bank: Tom, can you expand on your comments about most of the comp increasing driven by a rise in average ticket. Does that suggest any transaction gains that you're seeing from the commercial business are more than being offset by softness in transactions of the DIY side?
Gregory Henslee: Well, what we would say about that is that when we look at our average ticket going up, it's also a mix shift as we have a higher percentage of do-it-for-me business as a mix with the total and that relates to the CSK conversion stores. When we look at the DIY side of the business, we continue to sell more and more hard parts. But to answer your question directly, we were pretty neutral on ticket in total with pressure on the DIY side, so that below 0 number and above 0 number on the do-it-for-me side of the business.
Michael Lasser - UBS Investment Bank: As trends have improved a little bit in July, because that's presenting a more difficult comparison, so it sounds like gains a little bit and gotten a little better as the experiences become come difficult, is that because the commercial business has gotten better or the DIY business has gotten better with the weather?
Gregory Henslee: We've seen improvements in the trends on both sides of the business here in July.
Operator: And your next question comes from the line of Chris Horvers from JP Morgan.
Christopher Horvers - JP Morgan Chase & Co: Recognizing that you don't disclose the comp delta or the different comp by CSK versus core O'Reilly, can you perhaps talk about how the comps have ebb and flow over the past 1.5 years? Do you see a relative acceleration similar in CSK and O'Reilly as you went to the back half of last year? And then, as you reach these tougher comparisons, are they both similarly decelerating on the comp side at a similar pace?
Thomas McFall: This is Tom, Chris. When we look at the -- it's kind of a tale of 2 things, core O'Reilly ran pretty consistent on do-it-for-me, do-it-yourself last year. And then of course, on to the CSK side, we put a lot of effort into growing the do-it-for-me business. And there's a lot more opportunities, so that comp has run a lot faster. As the stores have been converted longer, they comp better and better. So we're kind of at the point where all of them have quite a bit of time that they've been up there from a training perspective, from the penetrating the do-it-for-me side of the business. And they're definitely leading the comps for the company.
Christopher Horvers - JP Morgan Chase & Co: So basically, actually, so that -- is it fair to say then, yes, core O'Reilly has seen this, the accel, decel, but CSK has actually had decelerated -- didn't decelerate at the same pace because as they age they improved, is that what you're saying?
Thomas McFall: Yes. Our expectation, when we look at the beginning of the year of 2011 was that core O'Reilly was going to have a tough comparisons especially in the third and fourth quarter. And so did CSK but our expectation was that we were going to see an acceleration on a 2-year stack basis as the stores have been converted longer and they have better penetration to the do-it-for-me business as they became more familiar with our business model. And we continue to expect that.
Christopher Horvers - JP Morgan Chase & Co: Greg, I know the comparison went up 200 basis points 2Q to 3Q '10. But was there -- I mean, was that more back half weighted to the quarter? Maybe some insight on how the month placed, stacked up in the third quarter of last year?
Gregory Henslee: Yes, it is. The third quarter that we're in right now, our performance -- when we're comparing to our performance last year was better in the back half of the quarter than it was in the front half of the quarter. All 3 periods -- we look at monthly, of course, all 3 periods were strong periods, but July is our easiest compare.
Christopher Horvers - JP Morgan Chase & Co: And then one final question, just sneaking in here, on the expense side, very impressive in the second quarter in winding down some of those expenses. As you look at the comparisons for the back half, it looks like SG&A per store, you did like -- I have about 1.8% in 2Q '10 and it go up to 6-ish, so is it fair to think that since those expenses are winding down, that you should see an equivalent -- why wouldn't you see an equivalent drop in SG&A per store into the back half?
Gregory Henslee: Well, two things, we have a lot of new stores. We continue to open with a higher store count this year and new stores, obviously, are not as efficient. The second item will be, Ted talked about it, staffing is a very delicate item. We need to make sure that especially -- really, in all of our stores that we're appropriately staffed for the business and have hours to go out and build the business.
Ted Wise: Yes, especially in CSK. The low hanging fruit this year came off pretty quick as our sales did well. And we got all the projects behind us, and we're able to better focus on staffing and using our scheduling program. Today, we want to make sure that to feed the sales that we make sure the CSK stores have the right amount of help. And we think we have opportunity there, but not as much as maybe we had this year. We’ll want to leverage our payroll with better comps and not try to over cut the payroll before its time, reduce the payroll.
Operator: And your next question comes from the line of Gregory Melich from ISI.
Greg Melich - ISI Group Inc.: A question on the SG&A, the leverage performance, which is impressive, I'm just curious how much of it had to do with -- you mentioned a change in the commission structure in CSK and sort of where are we in that process? Are we in a more of an O'Reilly-type pay system?
Gregory Henslee: Yes, there would have been no -- the positive effect I referred to is the result of the commission structure. It's more just getting everyone focused on accomplishing sales goals and measuring productivity, making sure that a part specialist who's well compensated is generating the amount of sales that would justify that compensation, just having measurements in the store and having some competitiveness in the store to create the environment that we want to create in each store. If there's a positive SG&A effect because of that, it would be a result of just better sales productivity because we -- there would not have been a pure salary or pay decrease as a result of the commission structure. We simply -- incentives is put in place to reward those that are highly productive, and reward those that are not as highly productive less.
Greg Melich - ISI Group Inc.: And then on the gross margin side, you mentioned the LIFO reserve. Is this fair to say given the timing of promotions and that, that LIFO is behind you and the easier compares that's why we expect gross margin to get better in the back half? Or is there something else we should be watching given you're trying to take down inventory, et cetera, that could hurt the margin?
Gregory Henslee: When we look at the gross margin from last year, the second quarter was our best gross margin percentage. If we look at where we are year-to-date, we're comfortably within our guidance range and very similar to where we were last year at this time.
Greg Melich - ISI Group Inc.: That's what you're reflecting in the guidance. So this feels like the biggest pain that you have from where you sit today?
Ted Wise: I don't know that it's -- we talked about it in the past that we will continue to have gross margin pressure as we increase the mix of do-it-for-me business, which carries a 400 basis points lower gross margin percentage. But we also did feel like we have a lot of initiatives out there and opportunities to grow it, to offset that pressure. For this quarter, we just happened to get caught in a position where we had a lot of items coming up on add, prices hit us before those promotions occurred, and as Greg said, locked-in. So we don't look at as a permanent challenge to gross margin above the normal retail issue of always trying to maintain a good solid gross margin.
Gregory Henslee: And then, Greg, something else I might add is that there are some other things, and it's just mitigating factors with regard to things we can do to grow gross margin as we bring in a higher mix of do-it-for-me business. Some of those things we've -- we're in the process of implementing. Others, we're in the process of exploring. Our company is one that has typically used brokers and distributors here in the U.S. to bring in products from overseas. Over the past year, 2 years and more aggressively in the past several months, we've made the decision to pursue some of those products more direct from some of the overseas manufacturers. Those things will create positive effect on our gross margin over time. And there's just been some other things that we can do relative to revenue management on a by-customer basis where we can just apply more science to the way that we manage gross margin by commercial customer and just being more in tune with what our competitors are doing on the retail side and making sure that we're doing everything we can to optimize our margin on the retail side. So we have some factors that should play positive for our gross margin in the quarters to come that have not yet been fully implemented.
Operator: And your next question comes from the line of Matthew Fassler from Goldman Sachs.
Matthew Fassler - Goldman Sachs Group Inc.: Two questions on the numbers. First on LIFO, you gave us the LIFO charge. I know it's not always perfectly straightforward how LIFO flows through gross margin. So can you talk about the impact that the LIFO number had on your gross margin rate year-on-year?
Thomas McFall: Based on our LIFO index, the change is between 5% and 10% of the gross change rolls through gross margin, as an add [ph] pressure in this particular case.
Matthew Fassler - Goldman Sachs Group Inc.: So it's a couple of million bucks?
Thomas McFall: That's fair to say.
Matthew Fassler - Goldman Sachs Group Inc.: Okay, so pretty insignificant. And is there kind of a tale to that? Or is this all we're going to see in terms of the impact it has on your reported gross?
Thomas McFall: That would be the only -- because we have price increase in the second quarter, it won't impact -- and had a LIFO charge in the second quarter, it won't impact our third quarter to the extent we don't have additional price increases.
Matthew Fassler - Goldman Sachs Group Inc.: Got it. Okay. And then the second question, just a bit more on payables to inventory, I think on the first quarter call, you indicated that the improvement would be somewhat back-end loaded. It sounds like even with some one-offs and some timing issues the underlying rate of improvement is pretty good. So how should we think about the payables ratio progressing now versus typical seasonality? Will you give a little more back or is it a pretty good base to build off of here?
Gregory Henslee: Well, we experienced a quicker ramp than we thought because we were able to get vendors to sign up not just for their payables going forward but for all their payables outstanding, and that's what's jump-started the program and got us results faster. And we continue to have tailwind to add more vendors and have those vendors that didn't convert their whole balance to fill up their buckets, so to speak. But we also faced, at this point in the year, we’re at our highest inventory churns, so we have our best AP to inventory ratio from a seasonality standpoint, as you spoke. We have a lot of work to do between now and the end of the year. We expect to be somewhere in the range we are now with those 2 being offsetting forces.
Matthew Fassler - Goldman Sachs Group Inc.: And I ask in part because when you look at the free cash flow guidance relative to the earnings guidance, it seems like you might be implying some give back of the progress that you've made. And that if you would actually hold current levels towards yearend, free cash flow could be substantially higher. Is that a fair statement?
Gregory Henslee: It will depend on a number of factors. Typically, for us, the third quarter is a positive free cash flow quarter and the fourth quarter is a negative free cash quarter. Based on sales volumes, reductions of AP to inventory ratios that are seasonally driven and then cash taxes.
Operator: And your next question comes from the line of Colin McGranahan from Bernstein.
Colin McGranahan - Sanford C. Bernstein & Co., Inc.: First question on expenses, not thinking about leverage, but thinking about actual dollars and looking out on a per foot basis [indiscernible] like about 0.7% per foot, that there is an actual reduction of SG&A dollars on a per foot basis. How much of that was CSK, kind of, reduced integration labor and costs? How much of it was productivity, labor productivity specifically, and cost the store base? And was there anything unusual or that wouldn't be persistent in terms of cost falling, not just leveraging?
Thomas McFall: Well, we had a number of conversions in the second quarter of last year with Denver and Salt Lake City converting and had a lot of activity. From being negative standpoint, I would say, that is what's generating that negative. We also continue to look for ways to reduce our expenses. Looking at the model at CSK, when we look at the negative, it's mostly coming out of CSK because we really feel like, and what we've seen historically, we run tight expenses at the core O'Reilly stores. But we've also have a lot of traction with reducing rent in the current environment. So those are kind of the 2 drivers that allowed us to become negative from a square foot standpoint.
Colin McGranahan - Sanford C. Bernstein & Co., Inc.: So, Tom, no plans to bunk 3 [ph] instead of 2?
Thomas McFall: Don't give anybody around here any ideas.
Colin McGranahan - Sanford C. Bernstein & Co., Inc.: Second quick follow-up, just again by our math, it looks like there was maybe around 2 percentage points of benefit or just under that from growth of CSK, if we kind of assume some leftover time? Is that reasonable and if so the core that was kind of running out of 2.5 comp base?
Thomas McFall: Those are, in general, the numbers. The core stores, the new stores have 2/3 of the business, so that might be a little bit light.
Operator: And your next question comes from the line of Tony Cristello from BB&T Capital Markets.
Anthony Cristello - BB&T Capital Markets: Question on CSK, I wonder if you could update us sort of on what the mix is today on the DIY versus the commercial, just so we can kind of get an idea of the initiatives, the replenishment and sort of gauge the success that you have had there growing that commercial side of the business?
Gregory Henslee: They've grown to where they about a 70-30 mix, right -- that will be real close.
Anthony Cristello - BB&T Capital Markets: And with the demographics and with the locations of the stores, is there still to believe that you can get that number closer to the 50-50 over some things you've seen operationally and competitively that may have changed that thought or perhaps the ramp time to get there?
Gregory Henslee: No, we still think we can get close to that. We continue to believe that there's a portion of the stores. I would say just to use a round number, somewhere around 100 stores that would be in areas of markets that would not be as conducive to serving the commercial customers. What we would ideally like and that will cause -- if we look at historical CSK as a whole, that will cause us to probably not get completely to the mix rate that we were at with core O'Reilly, but we'll get close. And again, our target is not necessarily to get to that 50-50 rate, our goal is to have as much in penetration both on the DIY side and the do-it-for-me side as we possibly can. And in core O'Reilly, that has historically led us to about a 50-50 mix. And I would suspect that CSK stores over time will get to approximately that mix.
Anthony Cristello - BB&T Capital Markets: Okay. It's sort of the replenishment capability now that is really what was needed to sort of start to get you to that next level at least?
Gregory Henslee: Yes, it's the replenishment capability, it's having the systems, the pricing abilities, the teams in place that have the -- that can develop the relationships with the shops. It's having all the equipment that the shops need to run their shops and being able to partner with the supplier that cannot only supply their parts, but supply the products to keep the shop running, it's having the electronic connections with the shops. It's a long list of things that we now have in place that have those stores in a good position to become more of a dominant supplier on the commercial side of the business.
Operator: And your next question comes from the line of Jake Fowles from Focus Researchers.
Unknown Analyst - : You've had very good expense control, with 3.8% more average stores, only being up 4.2% SG&A. I was wondering if you could tell us what particular productivity enhancements you're implementing? And to what degree that can continue longer term, let's say, through 2012? And in 2012, what kind of a total sales gain do you need to have continued SG&A leverage?
Gregory Henslee: Tom and Ted may have something to add to this, I think the -- and this is a very general statement, but I think you'll understand it well, Jack, is that if we look just at the CSK stores, because I felt like we've had good productivity controls in core O'Reilly for forever. But at CSK, I don't think they did a very good job without us in managing their productivity by team member. They didn't align the productivity of team members in the stores, for instance, with what that team member was making from a competition standpoint. Part of our management structure is to make sure that our district managers and our regional managers do that ongoing. And what this does is not necessarily from a pay standpoint, but from a sales productivity standpoint, it creates kind of a competitive environment in the stores, so that everyone's seeing how much each team member is selling, and those team members want to do better and want to sell more. And then in addition, we create an economic incentive for them to want to sell more. Now, we pay them a commission for selling more. And then to offset the factor that you can have where we've got a change of planogram or we're changing over a product line, and you have team members that might say well, I don't want to do that kind of work because I'd rather be selling products to compete better, we have kind of a team commission plan, so that the team members that are doing that kind of work also participate in the commission program by being part of the team that's overall more productive. So I think that's been the biggest change that we've implemented with CSK that's improved the productivity.
Ted Wise: I might add, a lot of CSK stores were medium volume or maybe even small volume. They had great volume stores, but when you're more retail, you have to have x number of people to keep the store open 7 days a week -- the hours wherever they may be. As we've added the wholesale business, we didn't add that to the business mix without adding as much salary as maybe we would have if we didn't have that retail base with the x number of people in the store from what has been kind of incremental to the store staffing to a certain degree sometimes, and that's helped us leverage the payroll there.
Thomas McFall: Jake, to answer the other part of your question, this is Tom. Obviously, we're growing sales without growing SG&A thus far this year and it relates to the item that Ted and Greg just talked on of getting team members that are productive and abiding to our culture and focus them what we want them to be focused on. The other part is we spend a lot of money on training and conversion projects last year both at the CSK stores. And then when you look at core O'Reilly, all the store managers that went out and spent a week or 2 training and many of them did multiple tours of that. So that has helped this year, and that's driving that. When you look at next year, we would expect to continue to be slightly below our historical leverage point as we continue to have good productivity gains in the acquired stores based on building staffs to understand the compensation structure and motivated by compensation structure, actually get paid more but grow the sales faster.
Unknown Analyst - : So you're saying that you expect continued SG&A positive leverage next year?
Thomas McFall: Somewhat, not to the extent of next year.
Operator: We have reached the time allotted for questioning. Back to you, Greg, for any closing remarks.
Gregory Henslee: Well, I just like to thank everyone for their time this morning. We'll be working hard in the third quarter to generate solid results, and we'll look forward to reporting those results to you in October. Thanks.
Operator: This concludes today's conference call. You may now disconnect.